Operator: Ladies and gentlemen, thank you for standing by. This is the conference operator. Welcome to the Barrick 2020 Third Quarter Results Conference Call and Webcast. During this presentation, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded and a replay will be available on Barrick's website later today November 05, 2020. I would now like to turn the conference over to Mark Bristow, Chief Executive Officer. Please go ahead, sir.
Dennis Mark Bristow: Thank you very much, Tardia. And good morning and afternoon to everyone, and welcome to this presentation of our quarter three results. Two quarters now into the COVID-19 pandemic, it is clear how effectively our Barrick teams have continued to deal with the impact of the virus on our businesses. Our host country governments, our employees and the communities around our mines. As I trust, today’s results will show in the face of an unprecedented challenge we’ve been able to beat earnings consensus, reinforce our business planning and capitalize on the gold price to maintain an industry leading balance sheet. We did not have to change our core strategy to contend with the Corona virus. In fact, it was that strategy of a flat structure with nimble and knowledgeable on-site managers that directed the proactive implementation of a comprehensive range of defensive measures. Our partnership philosophy exported that response into our communities and our long relationship of trust and understanding with our host country stakeholders allowed us to make a significant contribution to our own campaigns and theirs, our host countries campaigns against the pandemic. I point you to the cautionary statement as shown on the screen; this is also available on our website. How you can see our Barrick’s engagement with its stakeholders continues to protect its people and support the sustainability of our businesses. We’ve been working with our host countries to find appropriate solutions to all the consequential effects of COVID-19. This cooperation has resulted amongst other things in the installation of point of care, PCR testing labs at each of our sites with the exception of those in North America where the regulatory environment requires alternative arrangements. In this slide you can see how our active and considered approach to the pandemic has paid dividends. At operational level there was peak in cases in July as was seen globally. However, due to our disciplined approach to screening along with our quick rollout of rapid tests to all our operations as well as enforcing strict protocols, we were able to not only flatten the curve, but drive it down. We’re however, all acutely aware that we need to remain vigilant as the Northern Hemisphere winter approaches us. Our lost time injury frequency and total recordable injury frequency rates at a significantly lower point than this time last year, despite an increase recorded in this last quarter. We’ve double done with senior executive leadership on reversing this trend through managing by walking about. The group is on track to have all our operational mines certified to the ISO 45001 Health and Safety Standard before the end of next year. Our environmental management also continues to make substantial progress and there have been zero class one incidents across the group so far this year. All our sites are also on track to get their new ISO 14001 certifications by the end of this year. Incidentally, it’s worth pointing out that Jabal Sayid in Saudi Arabia received its first ever certification last month. Our water re-use and recycling rate of 82% for the quarter was above our annual target of 75% and our power stations and renewable energy sources are on track to achieve the plan decrease in greenhouse gas omissions for the year. Loulo’s solar power plant was successfully commissioned by our own team in the midst of the pandemic and has so far saved more than 540,000 liters of fuel and almost 1,600 tons of carbon dioxide during this past quarter. The use of solar power will also be increased at the Nevada mines with plans underway for a 100 megawatt facility with the potential to expand to 200 megawatt facility in the near future. Finally, in recognition of this progress, Capital Finance International has just awarded Barrick it’s two 2020 award for the best sustainable mining strategy in Africa. Barrick has provided over $25 million of financial and other support to its host countries to strengthen their COVID-19 control programs. Nevada gold mines launched the IIT fund to provide low interest loans to small businesses impacted by COVID-19, a model that is replicated in other geographies including Canada, The Dominican Republic and across our African operations. We’ve also launched a partnership with the Nevada Department of Education and Discovery Education to make discoveries highly regarded online learning platform available to schools across that state. Over and above COVID-19 assistance, Barrick’s operations have continued with a community development programs. Over the same period more than $3 billion has been spent on the procurement of goods and services from local and national suppliers across our portfolio. A modern mining business needs people who share its vision and its values and/or entrepreneurial, agile, alive to technological and societal changes and profit oriented. That is why in an industry traditionally dominated by white males Barrick is building an employee call aligned to a changing world. Barrick has a long tradition of hiring locally for both operational and managerial roles. Recognizing these employees are as good as you can find anywhere and the policy leads to greater team effectiveness and workforce stability. Current staffing of nationals in management roles are 80% within our…ssss …. within our African and Middle East region 63% in LATAM and Asia-Pacific and 97% in North America. Barrick has now also embarked on a drive to recruit more young people and women and it's worth pointing out that this is purely on a merit basis. Also while many other companies rescinded or cancelled university student programs due to COVID-19 each of the regions within the Barrick group offered and hosted student internship programs with the representation of women ranging from 33% to 49% of the position sponsored. Turning now to the results, I'm pleased to report that these have been our third strong quarter in a row keeping us on track to deliver on our annual production guidance and at the same time highlighting the quality of our assets and our management teams. Here you can see the long list of achievements and initiatives in quarter three and I'll deal with these in detail as I go along. Driven in particular by Carlin and Pueblo Viejo, production was up despite the shutdown of POGRA. Per ounce costs also improved despite the underperformance of the Turquoise ridge complex and increasing royalties which are linked to the gold price. The copper portfolio again delivered strong cash flow with per pound costs continuing to track towards the lower end of our guidance. With our tier 1 assets capitalizing fully on a gold price that was up 12% quarter-on-quarter Barrick's free cash flow increased by 151% to a record $1.3 billion and the highest in the industry this quarter. Net debt was reduced by another 71% from the previous quarter and now stands at $417 million. Given the strong balance sheet and the free cash flow outlook, the quarterly dividend has been increased to $0.09 per share up 12.5% on the previous quarter and triple what it was prior to the merger announcement with Randgold in September 2018. Looking now at the operations, North America delivered its highest quarterly production for the year and is on track to meet its annual production guidance. The Carlin complex produced a particularly strong high margin performance despite the extended shutdown of the gold quarry roaster for annual maintenance. The maintenance significantly improved the roasters throughput and reliability and the impact of higher grade ore from the open pits also contributed to Carlin's credible results. Nevada has no shortage of opportunities and the richly endowed Carlin trend is our main hunting ground at present. Framework drilling has identified the primary controls to mineralization and increased the potential of the leasehold area. Early visual drilling results are very encouraging indicating a multi-million ounce potential for that Carlin trend. Meanwhile framework drilling in the Carlin basin has opened up more than 16 square kilometers of prospective search space. At Cortez, production and costs were impacted by a decrease in the open pit stockpiles trucked from Carlin as well as by lower grades from the underground operation. The complex remains on track to achieve its annual guidance including increased contribution from heap leach production in quarter four. In the meantime construction of the twin exploration declines at Goldrush now part of the Cortez complex is ahead of schedule and with contractor development complete. The project is transitioning to owner operations. Intersection of first ore as part of exploration and development is on track for the first half of 2021. Like Carlin, Cortez has plenty of opportunities. During the past quarter drilling has connected Goldrush to the nearby four mile project which is looking increasingly robust. Already more than three million ounce potential has been added to the back end of the current mine plan and with successful drilling at the Sofia and Dorothy areas the total potential is likely to grow. Combined with an expected resource increase at Goldrush, as we in full drill we are well on our way to a 20 million ounce asset which will keep the Cortez complex producing for decades to come. Already there is sufficient high grade inventory to make us confident that four mile will be mined with production potentially starting in the back end of this decade. Turquoise Ridge is still working through some issues and I've been spending a lot of time there with Greg Walker and his team. Production in quarter three was impacted by maintenance and upgrade disruptions as well as by lower equipment availability and utilization. The fact is that Turquoise Ridge has the highest grades and the lowest costs in our Nevada portfolio and even so its improvement potential is enormous. We continue to work with the management team and its effectiveness as we develop new geological and grade control models and put in place a maintenance strategy to address the current issues. On the ESG front, we are also partnering with Sandvik on the trial use of electric powered haul trucks for the underground. We now know where to go with Turquoise Ridge and the road ahead is clear to all of us. Meanwhile construction of the mines third shaft remains on schedule and within budget. Commissioning is expected in late 2022. We believe there is also still considerable upside at both Turquoise Ridge and Twin Creeks combined which we refer to as the Turquoise Ridge Complex. We just need to build our understanding of the geological formations. As a starting point we have sought to better understand what lies between Turquoise Ridge and Twin Creeks and identify additional target areas as this cross-section indicates. It's amazing to me just how under-explored this area is and I believe we are making rapid progress in building on that understanding. Elsewhere in Nevada, Phoenix is on track to achieve the upper end of its annual guidance. Production was impacted by lower grades and recovery this quarter, but costs benefited from higher copper product credits. Long Canyon had another good quarter with increased production and lower costs delivering exceptional margins. The permitting process for the mine life extension remains temporarily paused while a water management review seeking to optimize the project is underway. Over now to Alaska. The joint venture that's the Donlin joint venture successfully completed its 2020 drilling program, the aim of which was to increase our confidence in the geological model, validate assumptions and improve our understandings to update the life of mine plan. The results to-date have reinforced the importance of doing this work. While assays have been exceeded, certainly while assays have exceeded modeled grade thicknesses it is with higher grades over narrower widths. The next step is to update the geological and mineral resource models. We anticipate another drill program in 2021 to focus on areas that require further validation. By identifying and closing information gaps we still are convinced we are driving Donlin further up the value chain. Moving now to Canada where open pit mining at Hemlo finished up this week and a new underground contractor was fully mobilized on site in August to advance the ramp up of underground operations. Construction has started on a new portal which will improve operational flexibility by providing access to new mining fronts and increase throughput from existing levels. Hemlo has responded well to its restructuring and repositioning as an underground operation and has the potential to grow into a tier 2 asset. To this end extensions of the existing ore body at depth and to the West as well as an improved understanding of the geological controls all point to improved production and the ability to extend the life of mine up to 2030 and beyond. In addition, the Black Fly extension to the west of Hemlo mine looks the most promising at this stage and sits directly adjacent to current workings. Trenching has established that gold mineralization is present in a new stratigraphic interval more than 1,500 meters from the Williams open pit. Moreover, shallow historic drilling and sparse deep drilling confirms mineralization could be widespread within this target zone. In the Dominican Republic, PV increased production by 16% as expected after the previous quarter's total plant maintenance shutdown. Costs also improved further increasing this tier 1 mine margins. The plant and tailings expansion projects remain on track and on budget. These are designed to increase throughput to enable a mine to maintain a minimum average annual production of some 800,000 ounces, we are well beyond its current horizon. Approval of the environmental impact assessment for the plant expansion in quarter 3 represented a major milestone and the permitting negotiations for TSF3 are now a work in progress. We have repeatedly reiterated the importance of investing in active exploration and to this effort we have established a presence in the Dominican Republic as far as exploration goes both within as a member and a manager of the PV joint venture and also in our own right as Barrick elsewhere in the country. At PV, we have updated the geological model and supplemented it with a structural model that has better enabled us to identify new satellite targets. Veladero in Argentina has had a very difficult time impacted initially… Sssss …initially by a nationwide quarantine followed by movement and social distancing restrictions that hampered re-mobilization back to site. This in turn delayed the phase six expansion and the cross Andes power transmission project which was further complicated by us entering into that weather period associated with the southern hemisphere winter. Due to the ongoing financial crisis in Argentina the government has maintained currency restrictions and the forced repatriation of export sales into Pesos. Veladero therefore has kept a cash needs sales strategy selling only enough gold to cover its cash payment requirements to run the mine. Veladero is incidentally Argentina's largest dollar earner. Our objectives remain to restore Veladero to tier 1 status, but clearly there are still several challenges to overcome before we can achieve this. Barrick was once the leader in exploration and mining in Latin America, but then withdrew to less challenging havens. Re-establishing a dynamic presence in the region was one of our top post-merger priorities and we've installed a world-class exploration team with strong new leadership there. At Veladero we're looking for higher grade oxide mineralization to displace the low grade ounces in the current life of mine plan. At Pascua we are working to test some gaps in our ongoing modeling with a targeted drilling program and elsewhere updated geology and resource models have been delivered for the Argentina side of the Alturas project where the benefits of a potential starter pit is being investigated. This plus 8 million ounce project has significant value and the focus now is to deliver an updated preliminary economic assessment of this project. Also along the highly prospective El Indio belt, we have identified the potential for a tier 1 camp comprising four targets with a multi-million ounce potential in a 15 kilometer range. Beyond the known El Indio deposits we have added 17 new targets to our resource triangle in this region. As you all know, after years of negotiation, the government of Papua New Guinea suddenly announced on April the 24th that it would not extend our special mining lease for Porgera, which we then immediately placed on care and maintenance while embarking on a process of asserting our legal rights. At the same time however, we have remained in constant touch with the government seeking to find a mutually acceptable way forward for Porgera mine. I personally have had five face-to-face discussions with Prime Minister Marape most recently on the 15th of last month after which in a joint announcement, we disclosed that we had agreed in principle on a new partnership to reopen and operate the mine. The key conditions are that Barrick New Guinea Limited which is the joint venture between Zinjin and Barrick will retain operatorship. There will be an equitable sharing of economic benefits and the government would require a major share of the equity. Negotiations to formalize these principles in a framework agreement are proceeding. Over now to Africa, where the ever-reliable Loulo-Gounkoto has delivered its usual solid performance. Development of the Gounkoto underground mine started ahead of schedule last month with the first blast for the portal. The complex's third underground mine is now on track to deliver development ore in the middle of next year. As already indicated, the complex's 20 megawatt solar plant the first of its kind in Barrick group has been commissioned. It will reduce operating costs, cut carbon emissions and save some 10 million liters of fuel per year. In Mali as elsewhere in the Barrick group, the hunt remains on for new answers to replace mining depletion. The Loulo-Gounkoto prominent properties continue to yield strong results which position us well for significant life extensions. Across the border in Senegal in the Bambadji joint venture a number of exciting new targets have enhanced the prospectivity of that permit. Auger drilling has successfully been used to penetrate the transported gravels that cover large areas adjacent to the Falami River and is generating a number of new exploration targets that have our geos quite excited. During the quarter we also announced the sale of Morila to Mali lithium. This transaction is making progress and is expected to close soon. After years of trials and tribulations, Tongon in the Côte d'Ivoire has settled down as a consistently solid performer. The emphasis now is on to extend the mine's life by at least three years through the development of economic targets within hauling distance of the mine. The aim is to achieve a longer life of mine with added value and optionality in exchange for a slightly lower production profile. And across to the East of the continent in the Democratic Republic of Congo Kibali also produced a good set of results with the underground operation setting a new ore delivery record. The introduction of a 9 megawatt energy storing facility into the power grid has proved very successful. It has reduced the impact of cyclical loads such as the shaft winder on the power grid requiring less thermal top up for the mines three hydropower stations at an estimated annual saving of about 3.5 million liters of fuel and some 800,000 of carbon dioxide. Kibali is again on track to grow its mineral reserves net of depletion and its exploration pipeline is laying the foundation for another year of growth and a steady 10-year plan. The KZ trend remains prospective for a good balance between open pits or open pit reserves and underground ounces. Further east and to the south, Tanzania continues to shape up as a major success story with Barrick's African and Middle East team quickly cleaning up the mess left by Acacia. Having restored a good working relationship with the previously alienated Tanzanian government, Barrick cemented the partnership in the jointly owned Twiga minerals corporation which oversees the management of the mines as well as the implementation of the ground-breaking 50-50 economic benefit sharing agreement. Twiga last month paid a maiden dividend of $250 million; the stagnant north Mara mine has been rapidly revived with a focus on improving the underground mine and the restart of an optimized open pit operation. North Mara's growth pipeline aims to deliver plus 5 million ounces across 26 targets meanwhile extension drilling at Gokona and Gena is on track to deliver significant ounces into the mine plan. We are also updating geological and resource models to optimize the open pit and underground at North Mara a geological update of the RAMA orebody and mine plan is scheduled next. And at Bulyanhulu mining has resumed after a complete underground refurbishment the first development fronts have been advanced and the processing of fresh underground ore is scheduled for later this year. Buzwagi is a stockpile processing operation which will either be sold and/ or converted to an alternate land use. The export of stockpiled concentrate for these two operations that were previously halted by the government continued and was completed during this past quarter. In parallel with the start-up of the Bulyanhulu underground we are also busy with the total re-optimization of the underground operation starting with the geological modeling. The first seven intersections from the deep west drilling program have returned an average of 3.7 meters that's true width at a grade of 25.6 grams per ton. Geotechnical stress modeling and metallurgical test work is also underway on the material which will be incorporated into an updated mine plan and feasibility study to completed next year. We envisage that the combination of North Mara and Bulyanhulu could well earn a tier 1 complex status. Barrick's copper portfolio did well again with cash costs per pound that were lower than the previous quarters and below the bottom end of their 2020 guidance. Lumwana and Jabal Sayid continue to show progress while at Zaldivar the team is actively engaged with our partner on finding solutions to the mine's current performance. Our 5 and 10-year plans are being updated and we will share them when we report our annual results early next year. As our various feasibilities and mine optimizations come to fruition, we also plan to extend and further optimize our life of mine plans. The link between our mine plans, MRM and exploration is a critical connection that needs to remain dynamic and adjust to the specific needs of each mine. MRM remains focused on the operational integrity of the five-year plan making sure that the ounces are banked and all geological aspects such as grade, geotech or geomet are understood well ahead of any mining. This ensures that we can deliver on our operational plan. At the same time exploration is looking at the 10 to 20-year horizon to make sure plans are in place to identify the ore that can replenish the depletion over the longer term. However, over the medium term within that 5 to 10-year period there is an integrated approach between mineral resource management and exploration that is more dynamic in nature. This dynamic process... Ssss … this dynamic process then allows our mineral resource management and exploration teams to refine a strategy based on the requirements for each mine and region to achieve both a stable production profile and develop new opportunities for growth. We set out two years ago to build something different to what had become a norm for the gold mining industry. Based on a clear strategy of focusing on the best people to operate an industry leading set of assets. Whilst we are not there yet, we have made progress as has the industry that followed. This set of graphs really illustrates Barrick's performance across the key indicators we set at the beginning and before the gold price started its upward trajectory. Finally, ladies and gentlemen, in conclusion I end as usual with a comparison of Barrick's share price movement again spot gold and the GDX index since the merger and over the year-to-date. Just to remind you the rationale for the merger was our belief that the combination of the best people with the best assets would deliver the best returns. These graphs clearly show how we have delivered so far. Thank you very much for your attention. I do have most of the Barrick uh senior executive team on the call and we would be happy to take questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Josh Wolfson of RBC. Please go ahead.
Josh Wolfson: Thank you. Mark, it sounded like early on in the call you mentioned the four mile resource was roughly four million ounces. Just wanted to confirm was that something you expected to see at year-end and there is been a number of positive expiration updates across the connection you mentioned this quarter. Sofia this quarter that drill hole, Dorothy last quarter does that incorporate all those opportunities or is that just a short-term target?
Dennis Mark Bristow: What we pointed out was that's our mineral inventory at the moment to find on the drilling that we've done so far. By no means tries to indicate the potential of four mile. I think, the main progress that we made this last quarter was really connecting Goldrush with four mile in that sort of planar ore body that you see in Goldrush extended up into four mile and then as we move up further north in four mile, the mineralization moves to a much higher grade, more irregular shaped bridges host. But there is still a lot of work to do. At this stage we still framing the mineralization and the potential footprint of four mile and it's going to take some time to do that. The big question Josh comes at the end is do you continue to try to define the full potential through surface drilling or do you get an access that part of the ore bodies through development and then drilling from underground.
Josh Wolfson: Got it. So it still sounds like early days but exploration is going well.
Dennis Mark Bristow: And I think the important thing too is that the team's starting to understand these bridges and we're getting a good understanding of the geometry so that we can build them with only a few intersections. So there's a lot of learning going on at the moment as far as the classic four-mile breccia hosted orebody that is concerned.
Josh Wolfson: Thank you and for PV, could you remind us maybe the timelines or the steps needed for the tailings permitting so the next step I guess of unlocking the resources and reserves can come forward?
Dennis Mark Bristow: So we've got a number of scenarios on the tailing side. We're comfortable with our partners that the expansion makes good sense and we've committed to proceeding with that. The government is very pro this project, this PV is one of the, in fact it's by far the largest contributor to the commercial tax paid in the country and it has been for a very long time and with the COVID crisis now it's even more significant. But at the same time there is work to do and we need to complete the fatal floor investigations with across the footprint. We are working and engaging with the communities and other interested and affected parties and Josh these sort of processes you cannot drive them against the timeline. We don't have pressure to deliver this. We'd rather deliver it properly and in a way that has the support by the majority of the communities around the tailings facility.
Josh Wolfson: Thanks for taking my questions.
Dennis Mark Bristow: Thanks Josh.
Operator: Our next question comes from Danielle Chigumira of Bernstein. Please go ahead.
Danielle Chigumira: Hi, thanks for taking my question. On the consulting between Turquoise Ridge and Twin Creeks and could you give us an idea of where that exploration drilling ranks in terms of all of the other and potential opportunities within the portfolio?
Dennis Mark Bristow: Danielle, it's been, I'm a geologist and it's been an absolutely fascinating last 18 months working with our exploration and mineral resource teams. As you know, the legacy Barrick team is quite geocentric and we've uncovered enormous opportunities within the Carlin tenders are referred in the presentation that certainly is a massive and it's sort of like the holy grail and expiration certainly in the Americas. And then your Cortez itself going back to the famous pipeline deposits and a similar sort of connection between pipeline and Robertson and we've got, we've talked about already the Goldrush and Cortez then you get to Turquoise Ridge, which the Turquoise Ridge underground mine is a amazing mineralization. And it's an ore body that had when we got there had very little understanding in fact, one of my first meetings with the team was, we don't really understand the controls of mineralization and you've seen in the numbers, Turquoise Ridge is a super high grade deposit and we've made a lot of progress in understanding it. And then, you've got the old ghetto that the early discoveries in the form of the ghetto Pittan and the Twin Creek side of things and traditionally there is been a fence, a farm fence separating the Newmont assets with the Barrick assets. And when you look at the two different geologies they're quite different. As we start unpacking them, we see similarities and of course, there is a connection somehow between the two because they're not far away. And so we've had a lot of and also simplistically people didn't challenge themselves on how do you fit the two together and so there has been some historical drilling. We have invested in additional boreholes in the last 12 months and now we're starting to see the complexities between the Turquoise Ridge and Twin Creeks deposits. It's such an unexplored part of the whole Nevada gold fields, greater gold fields and just to add to the intrigue northeast out in the open plains we've got evidence of the same prospective sequences that host most of the deposits within these Carlin systems. And so, it's really as an open book Turquoise Ridge Complex as a whole. And I mean, I am very we can't certainly Carlin has got a clearer framework on which to base an observation that there's enormous prospectivity and we referred to multi-million ounce potential. Turquoise Ridge is a little early still and our big focus is getting our miners to be able to have proper mine plans based on both geological and mineral models and ultimately grade control models. But at the same time we're now venturing between, as we show you in that section between the two known portfolio and the inventory and historical production out of that region is substantial. So all I can say is, it's definitely prospective and it's something that attracts a significant part of our budget as far as what we would call brownfields exploration and I have no doubt we'll extend that further outside the known geology to see what's out there under the cover.
Danielle Chigumira: Thanks. That's very useful and just changing text slightly and you mentioned the portfolio to environmental impacts of the energy storage facility at Kibali and could you give us any sense of the positive impact on unit cost?
Dennis Mark Bristow: Say that again. I didn't hear what you were saying.
Danielle Chigumira: Could you quantify the positive impact on unit costs at Kibali from the energy storage facility?
Dennis Mark Bristow: Yes. The energy storage facility it's an amazing piece of equipment. It's actually a very large battery about nine megawatts. It's new technology and what happens is traditionally we used our spinning reserve, our diesel generators, high speed generators to be able to supply the immediate demand when we hoisted, we turned on the shaft hoist motors or we turned on the big moles or whatever. With this facility, we can now switch off the gensets and during the period where the rivers are completely full. And so the hydro power station then keeps that battery full and it's a base load and then the battery behaves as a responsive provider of energy for those quick demands. And we've also identified a further benefits in that when we start up our grid it's a mini grid, it's a mine restricted grid, power grid, we use that facility to load the grid and so again that takes away the need to start up our high speed gensets and so the savings are significant and we're just into it now. The first thing we measured was, the impact on fuel as you've seen and we share that with you as well as green out gas emissions, but ultimately it hits the bottom line as far as power costs go. And I would just take you back, Kibali is only profitable because of the hydropower installations; three of them. Otherwise if we were to just rely on diesel, we would be a very marginal operation. And so any way we can harness that hydro power station and reduce the consumption of diesel hits the bottom line and we expect that to continue and we'll share that with you as we settle down this piece of equipment. And we've already seen Maritain been able to use this technology elsewhere across the group...
Danielle Chigumira: That's great. Thank you.
Operator: Our next question comes from Richard Hatch of Berenberg. Please go ahead.
Richard Hatch: Thanks. Good morning Mark and congrats on a good set of numbers. I've got two questions. First one, just looking at the Latam portfolio, can you just give us a bit more of an update on what's going on with Pascua-Lama? What you're doing? When the next sort of key milestones after that asset and where that might fit? You talked about Alturas and the 8 million ounce deposit there ore I mean where did where do you think Pascua-Lama sort of sits in the pecking order down there? And then the second one's just on Mali a few headlines coming out about the auditor general recommending a review of mining contracts. Can you just recap us on where you stand with your fiscal agreements in Mali? Thanks.
Dennis Mark Bristow: Yes. Thanks Rich. So Pascua is as is part of the Pascua-Lama project that essentially the mine infrastructure was largely constructed not fully about 70% of it but the ore body failed. And so when we looked at it during our due diligence, we recognized an opportunity and to give you an example about 50% of the data has not been captured in those models. So what we've done is, we've put in into Latam a full feasibility team one to focus in on Pascua and Lama and that same team brings a level of expertise to our evaluation team down in Alturas Del Carmen region, and so just dealing with Pascua first. We've now completed the full audit of all the infrastructure which is on the Argentinean side in Lama and the major ore body sits in the Chilean side in the form of Pascua and we've now reviewed all the data sets, all the borehole logs. We've gone back and selected certain borehole logs. We've created not only a geological model and an ore resource model, we've also in the process of constructing a geomet model, so putting the metallogy together because this is a very complex set of various ore bodies, many of them which are essentially silver in nature and predominantly silver. And now with that model in place as we start putting it all together of course, we are identifying gaps in the information be it metallurgical characteristics or styles of mineralization or just the sort of connection, the geological connection so we are now moving towards addressing some of those gaps with the intent, our target is to get to the back end of next year with a revised feasibility study. It might not be at a bankable level, but it certainly will be at a stage where we can evaluate the real potential of these series of assets and make a decision whether it's a national asset that can be developed in a responsible manner for the benefit of the stakeholders including both countries or not and so that's our commitment on these projects. On Alturas, again this is a project that was sort of sitting in the exploration domain. It really hadn't been looked at by an integrated team that looks at viability and value and so we've done a complete review with the teams involved. And again we've identified gaps within that model. It's certainly, the inventory sits at more than 8 million ounces and we've got some work to do to be able to put additional frames into the very, and again it's a series of styles of mineralization and as I pointed out in my presentation there is a potential for a starter pit which is always helpful in starting up these massive deposits on the Argentinean side. And so again the objective is take that to the first step of an integrated project feasibility in the form of a preliminary economic assessment. We'll then be able to really understand the potential of that and then make a decision and that all fits with our resource triangle. Our resource triangle is all about starting with ideas and concepts moving them up towards the apex of the triangle at each barrier we need to test it against our investment criteria. So we've introduced that discipline across our group as far as the exploration teams go. We've also got the El Indio part of it in. El Indio was a very high grade deposit. It was mined and transported as whole ore. So a very high grade deposit. Again there are other satellites around it. We've gone back and put some geology into the controls, and again as I pointed out if you focus in and look at what we've got and the history and then focus out and look at the potential of that region we believe that it's got some significant potential. The second question was?
Richard Hatch: Mali just on the --
Dennis Mark Bristow: So we have I mean, we have done this before Rich. And I was there with the team just last week. We met with the new Prime Minister, the interim government and the interim leader of the government and his government minister of mines and finance in particular and again it was a breath of fresh air. The Prime Minister and his team want to make a difference. They see their responsibility as rebuilding that platform on which the elected government will be able to continue to build the economy. The minister of mines said to me, Mark our job here we know you've had lots of frustrations in the past. Our job is to work together and deliver real value and make a difference and really unlock the potential of mining in Mali. And Barrick is the biggest tax player in the country by a country mile and we've got a long history going back 23 years in the country. And the Auditor General which was referred to in the speech he's often around he comes and digs around in our business, tests us against our various conventions and again what I think some of the statements was taken out of context, but it's natural given the circumstances of the regime change that there is some distrust and so one would expect there to be some audits conducted against certainly any agreements or contracts whether it's mining or others during the final period of the previous regime. And I don't see that as it as being sinister at all. Certainly from my conversations it is not sinister. Very clearly the mining industry and the various conventions and Mali has always respected the legal right of investors to stability agreements. But at the same time the mining industry has contributed significantly more than 50% of the economic benefits of the mining. And so I've got no doubt that any audit and investigation will demonstrate the value that mining brings and hopefully and that's the conversation we had with the Prime Minister how do we make it better and how do we make the benefits more efficient and not waste some of those benefits through bureaucracy and inefficiencies within the administration. So it was for me everything that one would expect in that sort of conversation and I would add to that as you've seen, we've agreed to sell Morila to Mali Lithium which I think today changed its name and again we've worked with the previous administration on getting the approvals and meeting the various conditioned presidents and our engagement with the transitional government has also been positive and they very clearly recognize the opportunity here given a different set of investment parameters that Mali Lithium brings. And at the same time Barrick agreed and has retrenched its entire workforce given paid up all the rights so those people at Morila have a fresh start but they've been paid for their historical employment and so everything that we've did was because we in our mind we had got to closure in Morila so it made good sense for us to pay out people's rights and give them a fresh start and so Mali Lithium also starts with a fresh start.
Richard Hatch: Thanks a lot Mark. Appreciate it and good chat speech.
Dennis Mark Bristow: Thank you Rich.
Operator: Our next question comes from Greg Barnes with TD Securities. Please of ahead.
Greg Barnes: Yes. Thanks. Mark in the MD&A that's a brief comment about potential changes to the minerals tax in Nevada. I guess there was some legislation or resolutions passed recently where is that going and what does it mean for you potentially?
Dennis Mark Bristow: Well, I think just to give you some background when I assumed the role in Barrick, one of my first stops with Catherine, our executive in charge of North America was to visit the Governor's office and we talked about tax and the stakeholder benefits and all this whole ongoing conversation of does Southern Nevada benefit from Northern Nevada activities and so on. And when COVID had immediately the first stop I had was back in Las Vegas to meet with the team from the Governor's office and we made offers of advancing some of our taxes to assist in this crisis like Barrick and Newman did back in the 2008 financial crisis. And so for that offer to be effective there had to be a special legislation assembly called and along with other various bits of legislation that needed to be addressed given the circumstances that we found ourselves in this current scenario. Out of that was a surprise move to try and motivate additional resolutions on changing the tax structure for the mining industry and the mining industry is protected by the constitution and it's one of the few industries apart from gaming that pays tax in Nevada. And so we had already reached out to the governor's office to say we need as Nevada business need to look at broadening the tax base and making sure that there was an easier way to plan the treasury because the collection of taxes and finding revenues for the ongoing management of Nevada as a state is quite complex and fraught with challenges. And so that and so there was a movement within the legislator to introduce some resolutions including one which stuck with the current tax structure but lifted the cap and we as you can imagine the industry engaged robustly in that debate and subsequent to that and we had already started that the Nevada team has invited the various legislators both from the assembly and the senate that's the state assembly and senate to visit and spend time in the mining areas and you would have I think remember we invited some of the federal legislators as well as the Governor to the mines last year. And that's been a very productive process because there is so little known of them of how the role that mining plays and certainly in times like this, this is a as gold off as a natural hedge to investors. It offers a natural hedge to the state of Nevada and in fact in the space of just over a decade Nevada has benefited by having gold mines in its backyard twice already. So I think for what was initially quite a sort of political move has become a very considered engaged process and our team are certainly engaged at every level along with the Nevada mining association that's the rest of the industry. We have spent a lot of time with the Governor's office and individual leaders in the two houses and again this is a long process if you want to go down the route of changing the constitution and introducing sort of radical tax structures. I think we all agree that we've got to find a middle ground on what's good for the mining industry to keep it alive and ensure that it survives the troughs and is able to do what it's doing now in the peaks. And at the same time for the industry and other industries to be able to contribute to the treasury requirements, and I think there is no better time as you've seen right around the world where this COVID has sort of highlighted the critical nature of and the importance of being able to fund states and governments. And so I certainly, on where we are today and with the amazing work that we and our team that's the Barrick and Nevada mining association team has done, I'm optimistic that we'll find a solution that's good for everyone and puts mining right in the center of society's understanding of the importance of having more than just a gaming industry to support the Nevada economy and I would add that Nevada has been attracting a lot of IT leading IT organizations and sort of modern style businesses which again are able to position Nevada as a go-to destination for business.
Greg Barnes: Thanks Mark. That's helpful.
Operator: [Operator Instructions] Our next question comes from Howard Flinker of Flinker & Company. Please go ahead.
Howard Flinker: Hello Mark. Hello Graham. I'm confused by footnotes in the income statement. Last year you had write offs and it refers to footnotes 9b and 13 and 9a, I couldn't find them. The only 9 I saw was a two-line statement about Jabal Sayid.
Dennis Mark Bristow: Howard, at this stage of your life I thought your eyes would have deteriorated to a point where you can't read the fine print, but let me pass it on to Graham because you always catch us out with these little questions. Graham?
Howard Flinker: Well, I'm curious I'd like to understand and I'm too old to take these things to bed. So just please explain to me where I can find them.
Graham P. Shuttleworth: Okay. Sure. 9b is on page 125 of the MD&A.
Howard Flinker: It's on the MD&A I see. I didn't bring that. Thank you. That contest. That is my confusion. And out of curiosity what does the battery cost? Is it millions of dollars? Is it few hundred thousand dollars?
Dennis Mark Bristow: Its millions of dollars Howie, because it's more than just a battery. It's the technology and the software that goes with it to be able to manage that interchange and to be able to bring that power on and off as it's needed instantaneously and then recharge, etcetera. So it's a large investment.
Howard Flinker: I see, okay. And of course that means that you don't have to start and stop your production that's probably an intangible benefit as well?
Dennis Mark Bristow: Well, the most important thing is that we don't have to keep what's called spinning reserves. So we don't have to keep generators running to be able to take that surge when we need it because we can get it from the battery. So that's the real critical benefit from it.
Howard Flinker: Okay. Thanks guys.
Dennis Mark Bristow: And Howie, with the way we did it is we did it in partnership with the suppliers. So it was and then once we prove it success and that then we pay for the full amount. So it's been a long development process to get to where we are.
Howard Flinker: Okay. Thanks.
Operator: Our next question comes from Cleveland Rueckert of UBS. Please go ahead. Our next question comes from Cleveland Rueckert of UBS. Please go ahead.
Cleveland Rueckert: Hey can you guys hear me?
Dennis Mark Bristow: We can.
Cleveland Rueckert: Sorry I don't know what happened the first time there. I just have one quick question for you and thanks for all the time it's on the cost side obviously there's been a lot of moving pieces this year. You talked about royalties. You talked about COVID costs. Oil has been kind of an offset. You're obviously trending towards the high end of the cost guidance. I'm just curious from a bigger picture what would it take to get to the lower end of that range and the cash cost for gold?
Dennis Mark Bristow: So the big one, the big driver is the gold price and royalties and royalty structures. Nevada has got quite a complex royalty structure, Hemlo particularly and then of course the whole of AME, Africa Middle East has got royalties and we budget our guidance on a $1,200 gold price, I think this year by just 2020 we use 1350. So that's one of the drivers. The other side of it is the mix in Nevada which because of Turquoise Ridge performing at a slightly lower level. So that has an impact on the mix on the overall. So you don't see that because the other operations have done particularly well, but with as we ramp up Turquoise Ridge that'll also help with the overall costs and then in this quarter as well as catching up on some of the capital that we didn't spend last quarter and so that in -- all in sustaining costs we have a different impact as we would in the total cash cost but it's not, we don't have anything that's really out of sync in our operations apart from those.
Cleveland Rueckert: That's clear. Thanks for that Mark and then maybe one just quick follow-up on the dividend. I know you said a couple months ago, you were going to come back with a maybe more detailed dividend policy at the end of Q4. Do you have any sort of updated thoughts on how you're thinking about it? You're going to sort of stay on the $1,200 gold price sort of structure for the regular dividend or if there is any thoughts about special dividend or a buyback in the mix there?
Dennis Mark Bristow: So all I can say is that it's a very lively conversation at the moment as dividend conversations are always whether it was legacy Randgold or now with Barrick. I think the positive thing is that we are able to have that conversation which was not the case for a long time in Barrick as the Directors were pointing out to me yesterday. Our focus right now is at $0.09 we already do get to that $1,200 run rate where we can sustain our dividend over time. Graham is more than adequately shared the various options that we are debating on returning additional capital to our owners and we'll continue in debating that. But certainly for the medium term, we both Graham and I have always been fiscally conservative in the way we run our businesses. We are supported by the Board on this view and we're not out of the woods yet on this COVID challenge and we certainly don't have clear visibility of the full runway ahead of us. So we felt it was appropriate to deliver on our commitment to the market and ensure that we have continued to improve our dividends with the objective of it being sustainable. And then we've got time to reflect on exactly how and we've certainly got lots of inbounds from our various interested and affected parties but as you've seen today and as we behaved back in 2008, we didn't react just on everyone's women demand. We were very considered in how we manage in the short term right now I think a stronger balance sheet is better. It does two things. It protects you from any crisis. It certainly protects you from the capital markets should we get challenged with an unexpected event within the markets I'm talking about. And it continues to shore up the quality of our paper that's our share price and that's all good for this phase in the market and the gold price has moved very rapidly and I've always have been of the opinion when things move so rapidly it's wiser to be more considered than more reactive to the situation. And so that's the way we're going to manage this out to the our financial results next year. And so yes, and I think you've got a good idea of the various options we mulling over with our Board of Directors.
Cleveland Rueckert: That's very clear. Thank you, Mark.
Operator: There are no more questions from the conference call.
Dennis Mark Bristow: All right thank you very much everyone. As normal, we are available should you need to reach out and get additional color on our results. We thank you for making the time. We look forward to doing this back face-to-face soon enough. And I would just point out too that we are now working furiously on our Investor Day planning and have you sent out the invites yet?
Graham P. Shuttleworth: Yes. We have.
Dennis Mark Bristow: Okay. So we are setting it up for the 20th, I think we've positioned the presentations so that everyone can have an access to it without really just eating into your sleep time and we look forward to speaking to you then, unless we have a chance to speak before then. Thank you very much again for your time today.